Operator: Ladies and gentlemen, thank you for standing by. Welcome to Comtech Telecommunications Corp. Second Quarter Fiscal 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Friday, March 9, 2012. I would now like to turn the conference over to Ms. Maria Salerno of Comtech Telecommunications. Please go ahead, ma'am. 
Maria Salerno: Thank you, and good morning. Welcome to the Comtech Telecommunications Corp. conference call for the second quarter of fiscal year 2012. With us on the call this morning are Fred Kornberg, President and Chief Executive Officer of Comtech; and Michael Porcelain, Senior Vice President and Chief Financial Officer.
 Before we proceed, I need to remind you of the company's Safe Harbor language. Certain information presented in this call will include, but not be limited to, information relating to the future performance and financial condition of the company; the company's plans, objectives and business outlook; the plans, objectives and business outlook of the company's management; and the company's assumptions regarding such performance, business outlook and plans are forward looking in nature and involve certain significant risks and uncertainties. Actual results could differ materially from such forward-looking information. Any forward-looking statements are qualified in their entirety by cautionary statements contained in the company's Securities and Exchange Commission filings.
 I am pleased now to introduce the President and Chief Executive Officer of Comtech, Fred Kornberg. Fred? 
Fred Kornberg: Thanks, Maria. Good morning, everyone, and thank you for joining us on this call. During the second quarter, we continued to successfully execute our business strategies. Financial results we reported yesterday clearly demonstrate that despite challenging global economic conditions, our business remains strong and our long-term plans grow on and remain on track. 
 Based on our current backlog and expected new orders, we believe the second half of fiscal 2012 is firming up nicely. As indicated in our announcement yesterday, we are raising the low end of our fiscal 2012 revenue guidance to $420 million, up from $400 million, increasing our adjusted EBITDA guidance by $2 million to a range of $72 million to $77 million, and increasing our diluted EPS guidance to a range of $1.34 to $1.44. 
 During the second quarter, we also repurchased 2.3 million shares of our common stock for an aggregate cost of approximately $75 million. And so far, during the third quarter, we have repurchased an additional 308,000 shares for an aggregate cost of approximately $10 million. In total, since the establishment of our original stock buyback program in September 2010 and through March 7 of this week, we have repurchased a total of 9.7 million shares for approximately $287 million. Pursuant to our existing stock repurchase authorization of $250 million, we still have approximately $63 million left to go. And we continue to believe that our stock remains at compelling value and anticipate being buyers of our stock during the second half of fiscal 2012. 
 Yesterday afternoon, we have given our business outlook and our expectations of generating solid operating cash flows in fiscal 2012 and beyond. Our Board of Directors also approved our third quarter dividend of $0.275, which is expected to be paid on May 22, 2012, to stockholders of record on April 20, 2012. 
 To date, we have paid out almost $40 million of dividends over the past 6 consecutive quarters and believe our dividend program is an excellent way to return capital to our stockholders. 
 At this point, let me turn it over to Mike to provide an overview of our second quarter. After which, I will share an overview of our business outlook. Mike? 
Michael Porcelain: Thanks, Fred, and good morning, everyone. As Fred mentioned, I'll walk you through Q2. And as I do, I will provide some additional commentary on our expectations for the second half of fiscal 2012. 
 Our Q2 revenues were $99.1 million. Of the $99.1 million of sales, 46.5% were for U.S. government end users, 41.4% were for international end users and the remaining 12.1% were for domestic commercial end users. 
 Let me provide some color on sales by segment. Net sales in our telecom transmission segment were $51.3 million in Q2 of fiscal 2012 as compared to $62.3 million in Q2 of last year, representing a decrease of $11 million or 17.7%. 
 As expected, net sales in the segment reflect significantly lower sales of both our Satellite Earth Station equipment and over-the-horizon microwave system product lines. We do expect sales of our Satellite Earth Station products to slightly increase in the second half as compared to the first half. But as Fred will discuss in a bit, sales of our Satellite Earth Station products continue to be impacted by lower sales to the U.S. Government as a result of ongoing budget pressures. 
 Net sales in our RF microwave amplifier segment were $22.4 million as compared to $23.9 million in Q2 of fiscal 2011. This decline of $1.5 million or 6.3% is primarily due to lower sales to both our U.S. and international government customers. 
 Turning to our mobile data communication segment. As expected, sales in Q2 of fiscal 2012 substantially declined and were $25.4 million as compared to $76.6 million in Q2 of last year. This decline was primarily attributable to substantially lower sales for the U.S. Army, as well as lower sales related to the design and manufacture of microsatellites. Our gross profit in Q2 of fiscal 2012 as a percentage of net sales was 41.8%, which was significantly higher than the 37.4% we delivered in Q2 of last year. The increase reflects a significantly higher percentage of consolidated net sales occurring in our telecom transmission segment, which generally has a higher gross margin percentage than our other 2 segments. 
 In addition, both our RF microwave amplifier segment and our mobile data communication segment also achieved higher gross profit percentages in Q2 of fiscal 2012 as compared to last year. We believe that based on our mix of our current backlog and expected order flow, our consolidated gross margin in Q3 of fiscal 2012 will be slightly lower than our Q2 percentage and that it will increase in -- by Q4.
 On the expense side, SG&A expenses were $19.6 million or 19.8% of Q2 fiscal 2012 sales as compared to $23.2 million or 14.3% that we achieved in Q2 of last year, representing a decrease of $3.6 million. Selling, general and administrative expenses during the 3 months ended January 31, 2012, were lower than anticipated due to the timing of certain expenses. Right now, given the related timing, including incremental legal expenses, we are expecting a bump-up in SG&A expenses during Q3 as compared to the spending level we experienced in Q2. As such, we believe that SG&A expenses in dollars for the second half of fiscal 2012 will approximate the total spending level we incurred during the first half of fiscal 2012. Looking forward, we continue to focus efforts on cost reduction activities to minimize our SG&A spending in future periods. 
 Research and development expenses were $9.4 million or 9.5% of net sales in Q2 of fiscal 2012 as compared to $10.5 million or 6.4% in Q2 of fiscal 2011. We expect to continue our investments. As such, we anticipate that R&D expenses in dollars in the second half of fiscal 2012 will be comparable to the level we invested in during the first half of fiscal 2012. 
 Amortization of intangibles with finite lives in the second quarter of fiscal 2012 was $1.7 million as compared to the $2 million we achieved last year. Consolidated operating income in Q2 of fiscal 2012 was $10.7 million or 10.8% of net sales as compared to the $25.3 million or 15.5% we achieved in Q2 of last year. The decrease is primarily attributable to the significantly lower level of net sales we achieved in Q2 of fiscal 2012. 
 Although we are uncertain of the exact product mix we may be requested to supply to the U.S. Army for the BFT-1 sustainment contract that we are negotiating, and although we do expect our Q3 operating margin percentage to be lower than our Q2 operating margin, we do believe that our consolidated operating income as a percentage of net sales for the full fiscal year in 2012 will approximate 12%. 
 Total stock-based compensation in the second half of fiscal 2012, which is recorded in our unallocated segment was $1 million as compared to $1.4 million in the second quarter of fiscal 2011. Interest expense in the second quarter of fiscal 2012 was $2.2 million compared to $2.1 million. Interest income and other was $400,000 in the second quarter of fiscal 2012 as compared to $600,000 last year. 
 Turning to income taxes. Our GAAP effective tax rate for the second quarter of fiscal 2012 was 34.6% compared to 32.4% in Q2 of last year. For the full year, our expected GAAP effective tax rate, including all discrete items, is still expected to approximate 35%. This rate reflects the expiration of the federal research and experimentation credit, which occurred on December 31, 2011. And finally, as we announced yesterday, our GAAP EPS for Q2 of fiscal 2012 was $0.27. 
 Now let me share a few financial metrics to help provide additional color on our results. Adjusted EBITDA in Q2 was $15.7 million as compared to $32.3 million for the second quarter of fiscal 2011. As a reminder, the adjusted EBITDA for our 6 months as well as our updated fiscal 2012 guidance, which we announced yesterday, is derived from the same definition that we have used in prior periods and which also reflects an add back of the $2.6 million of costs we incurred in the first quarter of this year related to the withdrawn proxy contest. 
 As of January 31, 2012, backlog was $126.3 million. Including in this amount is $28.2 million of firm orders related to MTS and BFT-1. 
 Now let me turn it to our balance sheet, which remains very strong. As of January 31, 2012, we have $400.2 million of cash and cash equivalents. This cash balance does not reflect the use of an additional $10 million for cash that was used for stock repurchases that we made so far in Q3, and it does not reflect our Q2 dividend payment, which was paid in February which approximated $5.4 million. We did generate positive cash flows from operations during the first 6 months of fiscal 2012 of $11.2 million and expect to continue to generate strong net cash flows from operating activities for the remainder of fiscal 2012. The ultimate amount of cash we generate in any specific quarter will be largely impacted by the timing of working capital requirements associated with our overall sales efforts. As Fred mentioned, we do expect to return capital to our stockholders in the form of stock repurchases from our existing cash balances. 
 Now let me turn it back to Fred, who will discuss our business strategies and outlook in further detail. Fred? 
Fred Kornberg: Thanks, Mike. At this point, I would like to provide a brief update on each of our core product lines, update you on where things stand on the MTS and BFT programs and then say a few words about our fiscal 2012 guidance. 
 I'll start with the -- with our telecommunications transmission segment, which is the backbone of our current business and where we remain the undisputed leader in both Satellite Earth Station products and over-the-horizon microwave troposcatter systems. As we anticipated during our last investor call, our Satellite Earth Station product bookings were lower in the second quarter than they were in the first quarter. As you know our Satellite Earth Station business is a book-and-ship business. And as such, bookings in the second quarter were in the short term, primarily, impacted by lower U.S. government activity. The general paralysis in the government's decisions and procurement processes have presented stiff headwinds on the government side of this product line. 
 On the other hand, our commercial and international Satellite Earth Station product bookings remained strong. In fact, bookings both in the second quarter and year-to-date have increased in every single international market that we serve. 
 In aggregate, our international bookings are up double digits, and we believe this trend will continue. And we continue to believe that the growing need for cellular backhaul and the growing demand for satellite capacity will provide important growth opportunities for us in the years to come for this product line. The strength in our international bookings, combined with a bit more clarity on the government side now that the fiscal 2013 U.S. budget has been published, makes us more confident that bookings in the second half of fiscal 2012 will be higher than the first half. At the same time that we are navigating our way through the challenges in today's markets, we're also positioning our Satellite Earth Station products to more fully meet our end customers’ needs. 
 We have historically focused on establishing Comtech as the world leader in the Satellite Earth Station product market with particular emphasis on the modem products line. In recent years, we have developed integrated network solutions and added to our offerings our Vipersat and SkyWire managed bandwidth products. This year, we have also introduced products targeted at specific end markets such as our maritime family of products and network solutions, which provide cost-effective, efficient and flexible satellite communications connectivity, including higher service availability and seamlessness when oceanic vessels are roaming between satellite footprints. 
 Turning to the other component of our telecommunications transmission segment, we remain bullish in the long term about our over-the-horizon microwave product line. On the international front, we continue to be focused on marketing our products to foreign countries that have challenges in communicating over difficult terrain. We're still very confident that we will receive a contract award in fiscal 2012 in excess of $40 million relating to our North African country end customers, albeit later in the year than we had originally anticipated. We've also made headway with various new potential customers in the Middle East, Africa, Asia. However, as you can imagine, political unrest in certain regions makes lead times longer than usual. We are cautiously optimistic about these opportunities because all of these potential customers have definite tropo requirements in various stages of preparing specifications, negotiating with us or waiting for government approval for their projects. 
 On the U.S. government front, we recently received orders for long lead items for approximately 40 terminals that will allow a prime contractor that is using its antennas and our radios to offer the U.S. Military a troposcatter system in a transportable flyaway configuration, which is capable of providing seamless communications compatibility with legacy fielded over-the-horizon microwave systems. We believe additional orders for these products may be forthcoming as there are hundreds of potential units to be deployed. Over the past several years, our government over-the-horizon microwave systems, including upgraded TRC-170s, have been fielded by U.S. Military in Iraq, Afghanistan and other parts of the world and have proven to be an important link in critical communications channels. 
 Overall we believe that our telecommunications transmission product lines are weathering the current adverse, economic, geopolitical and government spending environments and are poised for growth as conditions improve. 
 Moving on to our RF microwave amplifier segment. Our traveling wave tube amplifiers, or TWTAs, and solid-state power amplifiers, or SSPAs, serve critical needs in both the commercial and defense markets. Our TWTAs are used exclusively in the satellite communications market, enabling vital services such as traditional broadcast, direct-to-home broadcast, satellite news gathering and the emerging satellite broadband communications area. Among our more recent commercial TWTA wins are contracts for our new industry-leading 500-watt Ka-band amplifiers, which is a key component in the vast majority of North American and European high-throughput broadband satellite systems. 
 On the defense side, our TWTA products are used to support high-capacity U.S. Military satellite communication systems, such as WGS or wideband global satellite constellation, the Milstar system and the wind T system. 
 On the solid-state amplifier side, in addition to commercial applications such as aviation, medical and instrumentation testings, our SSPAs are used in a number of electronic warfare applications, including counter IED systems. In fact, during the past few years a significant portion of our SSPA sales have come from our participation in counter IED programs. We are currently working on a development contract in support of the DOD's next-generation counter IED program, most notably CREW 3.3 and believe that we will receive the lion's share of such work when the funding becomes active in the years starting at 2013. 
 During our call in December, I discussed the $7 million award for jamming amplifiers that we received in the first quarter. And as you recall, our prime contractor's award was protested by another bidder, and we were issued a stop work notice. The good news is that the protest was resolved favorably, and we were authorized to recommence our work. Although we are pleased as to how this specific matter was resolved, it serves as a reminder of how tight things are in the U.S. government spending arena. 
 Overall, given the strength in bookings that we have experienced in this segment during fiscal 2012 and our role related to CREW 3.3, we believe that this business is positioned to grow over the next few years. 
 Moving on to our mobile data communications segment. As I've discussed previously, revenues in fiscal 2012 relating to MTS and BFT will be substantially lower than those reported in the past few years, and the reduction can clearly be seen in our results for the first half of this year. Let me provide a quick update on where things stand with MTS and BFT programs. 
 To begin with, the Army's plans have changed and continue to change several times since we last updated you in December. We have now received and continue to receive requests for quotes with various or different assumptions, various and different time frames and structures. Most recent implies that the U.S. Army intends to award at least one contract for BFT and MTS support and services. It's also possible that this award will also include some amount of satellite bandwidth . We expect that the U.S. Army will pay us a fee for the use of our intellectual property effective April 1, 2012. Once this is done, it is our understanding that the Army then intends to award us a multi-year IDIQ sustainment contract for 3 to 5 years. We're hopeful that at least one contract can be put in place before the expiration of the current contract performance period on March 31 of this year. 
 The rest of the segment, which is primarily comprised of our microsatellite product line performed well in the first half of this year. But once again, the U.S. government budget pressures have caused funding to move out to the right and related program activities to stretch out and proceed at a slower pace. In fact, revenues relating to our JMAPS program are declining as related funding has been reduced. We are, however, actively working with our customer and other prospective customers to obtain additional funding to complete the spacecraft bus and generate new orders. 
 In the longer term, we still believe that in an environment where government and scientific budgets are under pressure, the market for smaller, faster and less expensive microsatellite should grow as end users seek to launch more cost-effective platforms to meet their core operational goals. 
 And finally, let me provide some additional comments on our updated fiscal 2012 guidance. Obviously, business conditions remain challenging. We continue to be impacted by U.S. government budget pressures and resulting spending delays. As such, our updated financial guidance for fiscal 2012 that we provided reflects more conservatism in our Satellite Earth Station product line for the second half of fiscal 2012 as compared to the guidance we provided just 3 months ago. At the same time, given the positive traction we have seen in our BFT-1 contract negotiations and orders we have received to date, our updated guidance reflects higher revenue and earnings contributions from the BFT-1 program. However, the expected timing of shipment for orders already in our backlog or future orders in related product mix will likely result in revenues, adjusted EBITDA and diluted EPS to be significantly skewed higher towards the fourth quarter than the amounts we expect to achieve in the third quarter. 
 Although we are uncertain of the exact product mix, which will ultimately be provided to the U.S. Army, our financial guidance for 2012 assumes that we will be successful in negotiating at least one BFT contract before April 1, 2012. Our financial guidance for fiscal 2012 also assumes that effective April 1, 2012, we will begin to recognize revenue for a pro rata amount of the annual IP license we expect to charge the U.S. Army. For obvious reasons, we do not intend to publicly disclose the amount of the intellectual property license fee that we have proposed to the U.S. government. 
 And finally, it is important to note that our EPS guidance does not reflect the impact of any stock repurchases we may make subsequent to this call, the impact of any potential acquisitions we may make during the fiscal year or any onetime restructuring items or other unusual cost items. As always, we will report this to you on a quarterly basis. 
 With that, I would like to proceed to the question-and-answer part of our conference call. Operator? 
Operator: [Operator Instructions] And we'll take our first question from Rich Valera with Needham & Company. 
Richard Valera: Last quarter, you said you didn't expect to achieve growth in your core business. At least you said it would be tough to achieve growth, I guess. Given, it sounds like, some puts and takes in the core business, can you update that? Do you think you can achieve growth in that core business this year? 
Michael Porcelain: Yes, I think the answer is it's still going to be tough for us to do for the year. I would say we're really not expecting it to occur in the way we're thinking about the year. It still could happen based on how the bookings come out. But I think what we've seen in the first half is really going to continue into the second half of the year. 
Richard Valera: Okay, that's helpful. And then with respect to the -- you gave a little more color on the payment you're expecting, you're hoping to receive for IP. So it sounds like you would be looking for an annual sort of fixed IP payment from the government and then you'd -- that would be sort of ongoing and sort of perpetuity. Is that a fair way to look at that? 
Fred Kornberg: I think what we've told the government and, obviously, we're still in the process of negotiating this feature but we intend to charge an IP license on an annual basis for the sustainment contracts that the Army will place with us. 
Richard Valera: I mean, can you -- obviously, you've had a lot of negotiations there, but does that seem like something that they were agreeable to at this point? 
Fred Kornberg: I think our position is pretty clear. I think we need to be paid to go forward, and I think the Army understands that. 
Michael Porcelain: I mean, Rich, we've proposed numerous structures to the government. They've known about this for several months, and we are in negotiations with them on initial contract, as well as they've told us that they intend to do a multi-year contract, as Fred mentioned, 3 to 5 years. So we think all the facts are on the table, and certainly our guidance assumes that the way the structure is ultimately going to be is on some type of annual recurring basis. 
Richard Valera: Okay, that's helpful. And can you give us how much MTS, BFT revenue is baked in to your annual guidance? 
Michael Porcelain: Well, we've mentioned on the last conference call we do think our mobile data com business in the second half is going to continue to wind down as compared to the first half. But at this point, our contract still expires on March 31, 2012, for the satellite stuff. It's very, very difficult for me to say, but I think directionally in the second half, it'll be a little bit down from what we did in the first half. But it's just tough to put an exact number on it right now. 
Richard Valera: But it sounds like you expect more revenue today than you did 3 months ago for MTS, BFT. Is that correct? 
Michael Porcelain: That's definitely fair. In January, we got a bunch of orders including roughly $12 million of new mobile satellite transceivers. And as we talked about in our 10-Q that we filed yesterday afternoon, some of that $12 million, we actually expect to actually ship in fiscal 2013. But yes, the bottom line is as compared to the last time we were sitting here, we do think our MTS and BFT business will generate more revenue in 2012 than we did the last time. 
Richard Valera: Great. I know it's tough to look this far ahead, but can you give us any sense of where MTS and BFT could be next year? It sounds like you've had, too, may be some unusually strong stuff this year. I know you had I think an adjustment that was probably not recurring. But can you give us any sense of year-over-year how we might be able to think about this business in fiscal 2013? 
Fred Kornberg: I think it's really too much of a fluid situation as you can anticipate. We've really got 3 weeks to finish our negotiations. And as I mentioned, things have really been going back and forth and changing to a large degree. I think we could get one contract as I kind of alluded to. We could actually get 2 contracts. The surprise recently for us was that certainly the contract or the contracts will have now an additional bandwidth requirements, which we didn't expect 3 months ago. So things are just changing too much for us to really be -- to able to predict. 
Operator: We'll take our next question from Tim Quillin from Stephens Inc. 
Timothy Quillin: Could you just go through the backlog by segment? 
Michael Porcelain: Sure. Our backlog for the quarter ended at $126.3 million, of which, $55.4 million came from our RF amplifier segment, $36.5 million is in our telecom transmission segment and $34.4 million is in our mobile data communication segment. 
Timothy Quillin: And would you be able to tell us what the split on the Satellite Earth Station equipment business, what the split is between government and commercial right now? 
Michael Porcelain: We don't really put out those percentages. I mean, most of our backlog, I could tell you, in our telecom segment is mostly with the Satellite Earth Station side of the camp. But I think, directionally, the way to think about it, as Fred mentioned, in our international markets, we're seeing double-digit growth in almost every single one of our international markets. So what we're seeing increased international sales and you could assume the same going down on the U.S. government side. But we don't want to put a number on that. 
Timothy Quillin: Right. I mean, is it fair to say that the significant -- the majority of revenue is in commercial markets though? 
Michael Porcelain: Yes. 
Fred Kornberg: Yes. 
Timothy Quillin: And I wasn't -- so you are pretty clear in terms of 3Q versus 2Q, that 3Q margins would be lower. Do you expect 3Q revenue to be lower as well or continue... 
Michael Porcelain: Tough to say. I think we are looking at Q4 revenue to be higher. I mean, I think we should be able to do over $90 million of revenue in the quarter for Q3, but that's directionally is the way to think about it, $90 million plus. And where that comes in, we'll see. 
Timothy Quillin: And so explain the different factors maybe that would drive this stronger fourth quarter. It sounds like maybe the amplifier business would have us in a especially strong fourth quarter. Maybe you expect that Satellite Earth Station equipment business to be a little bit higher in the fourth quarter, but it's a pretty significant step-up is the delta -- is the bigger part of the difference coming in the mobile data side in 4Q versus 3Q? 
Michael Porcelain: No. Almost all of it's in our telecom segment and in our RF segment. I mean, if you look at the backlog in our telecom segment, it's a book-to-ship business. If you recall the last time we spoke to you in Q2, we saw the slowdown in the U.S. government side of the business. It happened. We're still working through that. We do think it's going to take some time for U.S. government spending to return to our Satellite Earth Station business. So we're looking at Q3 to be kind of close to what we did in Q2 in that part of the business. And then on the other part of that business, in our over-the-horizon business, we're expecting the contract by Q4. So some of it is timing. Some of it's related to the mobile data communication business in terms of the other segments, but it's -- there's a lot of pluses and minuses right now between what we see. But directionally, that's kind of the way we're thinking about it right now. 
Timothy Quillin: On the over-the-horizon contract, though, that you anticipate, you expect that to come at the end of fourth quarter. So I'm presuming there's really not anything in your guidance related to that? 
Michael Porcelain: I would say nominal. We do have, and Fred mentioned, we got an order for long lead parts for 40 terminals for the mobile troposcatter systems that we're producing. So we are expecting to get a nice order from that, and we do have that in our Q4. 
Timothy Quillin: And I know this is a little bit hard to parse out, but how much of the anticipated 4Q jump-up in revenue versus 3Q is related to the belief that the government business on the Satellite Earth Station equipment business will come back? 
Michael Porcelain: Well, I'll just say a good portion. Again, we do have strong backlog in our RF amplifier segment, Tim. So you're going to see that growth coming, and we are anticipating additional orders in that segment to be very strong in the second half. And we do feel confident that we're going to see that pop. It's just some timing. If you remember, back at the beginning of Q2, in a continuing resolution, the budget wasn't released. All of those things have now happened. And so again, it takes the government, call it, 60 to 90 days to kind of rejigger what they're going to rejigger. We're starting to see some of that now, not at the pace that we would like, but eventually we do think that the string purses will open up. 
Timothy Quillin: Yes, that's fair enough. And then just one last question. I didn't fully understand the IP fee. It sounds like you're going to start taking or -- I guess, recognize a certain amount ratably over the course of the year whether negotiations are finalized or not. Is that true? 
Fred Kornberg: Yes. 
Timothy Quillin: Okay. Does that indicate some kind of confidence, it will be done or just some by hook or by crook, it's going to be done? 
Fred Kornberg: I think both of the above. 
Operator: We'll take our next question from Tyler Hojo with Sidoti & Company. 
Tyler Hojo: Just first, you mentioned kind of your favorable prospects to the JCREW 3.3 program. I was wondering if you could talk a little bit about that. Maybe you could give us a little bit of color just in regards to content. And if you're not willing to give kind of actual numbers, maybe you could just talk relative to kind of some of the legacy systems where your content is. 
Fred Kornberg: Well, let me say on CREW 2.1 and CREW 3.1, we were 1 of 2 suppliers for the IED amplifier systems. On CREW 3.3, which I can say that at the moment with the budget being approved for '13, the plan on CREW 3.3 is for approximately 275 or approximately 300 units to be fielded in '13, and approximately 1,000 units for '14, '15 and '16. To us, as the sole source supplier of this particular unit at this point in time, it represents roughly $20 million to $25 million a year. 
Tyler Hojo: Okay, great.  And just to go back, not to beat the dead horse, but your guidance now assumes some sort of contribution from a licensing fee for the IP that goes into the BFT contract. Is that correct? 
Fred Kornberg: That's correct. 
Michael Porcelain: And, Tyler, if I could, I mean, on our last conference call, too, we told folks, and just to be very clear, our guidance the last time did include some level of the intellectual property fee in terms of whether it's going to be satellite service revenue or whether it's going to be IP. There's some element in the guidance as well last time. I think what our point to you this time is we're making it clear we feel -- we do feel confident that if we are successful in negotiating the BFT-1 -- one or more sustainment contracts that the IP will be part of that contract. So that's really the message here today. There's not anything different than what we said last time. But from a mix perspective, we do feel confident that the IP will be part of it. Now at the same time, as we'll put the caution on there, things are changing every day with the U.S. Army. And we are in some negotiations and their requirements seemed to change, but we've exchanged it. It's been on the table for a long time. We seem to be down a good path with them. And ultimately, what the mix may be, that's still being determined. 
Tyler Hojo: Okay. So at what point do you think you'll have a little bit better visibility into, I guess, the longer-term contribution from those contracts as we look into 2013, 2014? Is it when you actually have the contracts in hand? Or I'm assuming they would be IDIQ sort of contracts, so when do you have better visibility there? 
Fred Kornberg: We certainly will have a better visibility on March 31 of this year, 3 weeks from now. In terms of the contracts, I have to repeat, we've gone from negotiating a sustainment contract for 3 to 5 years, which was an IDIQ contract, to a separate fixed contract for one year for just services and some hardware, to an additional contract for satellite bandwidth and then combined on a basis, combining those 2 contracts. So we're kind of in a very fluid situation. If I were a betting man, I'd say that we probably are going to have -- get one or more of fixed one-year contracts because of the time frame involved. I mean, we are 3 weeks away from the termination of our present contract obligation. So I would say that the best bet that we're thinking of is that we will get 1 or 2 one-year definitized contract and then a subsequent sustainment contract for 3 to 5 years, which would be an IDIQ contract. 
Tyler Hojo: Got it. And just one last follow-on to that. Just within -- there was a pre-solicitation on the fed biz op side. And I was a little bit surprised that the government is intending on awarding you guys a satellite airtime contract. Could you talk about that and maybe the duration of how long that would be in effect? 
Fred Kornberg: Yes, actually, I think it's all pretty well public. The government has for a long time -- and we've mentioned it in numerous of our calls. The government for a long time has wanted to go and consolidate their bandwidth purchase through these offices of government agency. And they, obviously, started to do that, and they had an RFQ and actually made an award to a company to provide that bandwidth for BFT-1 and MTS going forward. There has been a protest, and this was a one-year award. And the bandwidth will always be a one-year award situation for the government. There has been a protest, and you could say that we benefited from that protest because the protest is in process and they need that bandwidth starting April 1. So they've come back to us and asked us to renegotiate our obligations to include bandwidth for -- and we've heard it for 6 months with a 3-month option. We've heard it for a full one year. We can't tell you exactly how it's going to come out, but the need is there for at least one year. 
Tyler Hojo: Okay Got it. And just one more, I'm sorry. Were you the party that protested the award? 
Fred Kornberg: No, we weren't. We actually were a subcontract bidder to the -- to 4 out of the 5 parties that bid the satellite time. So we were hoping to be involved in it regardless. 
Operator: We'll take our next question from Chris Quilty with Raymond James. 
Chris Quilty: I wanted to follow up with a question on the telecom business. Specifically, I think, Mike, you mentioned that the Earth station business should be flat going towards the back half of the year. And I guess the question is, what does that imply for the over-the-horizon business? 
Michael Porcelain: I think, again, plus or minus, it's very difficult to say. We are expecting the Algerian contract to come in, in the second half of the year, and we are expecting what I call nominal contributions. It's too -- I would really say, Chris, your question is too precise at this point given the levels that we are. 
Chris Quilty: Well, I guess, the question is you've got 2 long-term contracts that are winding down. Are they still going to provide a similar level of contribution in the back half that they did in Q2? 
Michael Porcelain: Well, we do -- we are expecting the order in the over-the-horizon business for the additional snap terminals. We do expect revenue in that part of the business during Q4. Q3 will be very close to what it was in Q2, which is kind of why we're thinking that the mix of revenue and the SKU of revenue is going to be towards Q4. 
Chris Quilty: Okay. And when that new North African over-the-horizon contract is awarded, typically it takes some period of time, 6 months before those things get turned on, or is this a continuation program that should roll immediately? 
Michael Porcelain: Well, a lot of -- the way I would say it is, our accounting for those things as a percentage of completion. So almost immediately, as we start to incur cost, we'll be able to recognize revenue on that. So we've really been ramped up and we've been asked to kind of proceed and do some work already. We've kind of taken a mom-and-pop approach to it, and we're really just want to get the contract signed with our prime contractor before we really do anything. But at the same time, I could tell you within a few minutes of the contract being signed, we'll be working hard towards progress. 
Chris Quilty: Okay. And you had previously said you expected telecom margins to be north of 20% given the puts and takes here on the business. Is that still likely? 
Michael Porcelain: I think we're still shooting for the 20% operating margins. It's a little bit difficult and a little bit more challenging than it was to achieve since our last call. Some of that is due to the -- some of the legal matters and incremental expenses that we were expecting to happen in the second half. But if you exclude them, we would have easily have achieved that number. But adding them all in and given our expectations, we still think that the 20% is our target, and we think it's still achievable. 
Chris Quilty: Okay. And could you give an update on the margin trajectory for the other 2 segments? 
Michael Porcelain: Yes, the RF, you saw it happen as we said it would. Our operating margin went from 1.5% to over 5% in Q2. We do see that business getting back close to an 8% to 10% over time. So that's the way we think about that business segment. And you can plug the mobile data com for the rest. 
Chris Quilty: Okay. And for RF, is that based solely on the bomb jamming, which historic has had a 10, 15 percentage point positive contribution relative to the core business, or is it because the core RF business itself is seeing margin improvement? 
Michael Porcelain: It's really the latter. If you recall for the last few quarters and going through fiscal 2011, we shipped out a lot of those developmental amplifiers not only for the CREW program, but other programs as well. So we're coming back to what is a normal margin profile. If we can get over 10%, get to your number of 10% to 15%, that's going to be based on the volume in any given quarter. And if we're able to get a really good efficient or production run, something like that could happen in the a given quarter. And if they really need to get it out because of some military issue that occurs in the world, that would be great for us from a business perspective. But we do think 8% to 10% overall is where that business will achieve, and we think we're headed there. 
Operator: And we'll take our next question from Mark Jordan with Noble Financial. 
Mark Jordan: A question relative to the converge. I think the first put call period is in 2014. Do you have any sense that there'll be a put or a call on those bonds, and do you intend to maintain the $200 million liquidity through that time frame? 
Michael Porcelain: Well, the bonds have a conversion price that -- it's in the Q, I think it's like $34 and change, Mark. So we were kind of thinking about it as we expect to continue to pay our dividend payments by 2014. The conversion price on those shares will roughly be $32 and change. So it's more like equity than it is debt at this point. It's kind of the way we're thinking about it. And of course, those shares, the dilution from those shares are already in our share count. So that's not going to effectively change. So yes, effectively, we have access to the $200 million on the balance sheet side is the way we are looking at it. 
Mark Jordan: Okay. Secondly relative to the BFT program, do you have a sense of the rollout schedule for BFT-2, and how does that impact your view of how meaningful the sustainment could be in sort of the out years of the potential 3 to 5-year sustainment contract? 
Fred Kornberg: Yes, Mark. The best we can tell you is that we really don't have that much information on the BFT-2 program for obvious reasons. The Army doesn't really share that with us. We can say that it is 1.5 years later and, we certainly have followed the qualification requirements for that -- for BFT-2, and they have not qualified the transceiver portion of that system. So obviously, without first article qualification, there can be no production. So we don't see any rollout certainly in the near term. 
Michael Porcelain: Mark, I would also add to what Fred is saying is just on the first week of January, the government did place an order for $12 million for new mobile satellite transceivers. And they've even requested a portion of those satellite transceivers, which are going to be deployed, we assume, in the field not to occur until 2013. So as we go through these negotiations that we've been with the government certainly in the last month and certainly yesterday and the day before, they're asking for new hardware. So we'll get a better visibility as to what that hardware will be, if at all, when we sign the contract, if we're able to sign that contract come March. But our expectation is that we're going to even get some hardware numbers. We just don't know the amount, but, yes, we feel that we used a phrase, where we're getting positive traction on our BFT-1 sustainment contract in our business going forward. 
Mark Jordan: Okay. Final question relative to the international tropo opportunities. You alluded to customer opportunities outside of your historical customer. Could you add a little color in terms of the number of specific companies that you -- countries that you think are serious potential buyers of that technology and some sense of what you think you might be able to penetrate over, let's say, a 24-month period? 
Fred Kornberg: I think, overall we've always been in the oil platform business; and that's been a $1 million, $2 million type of order that we've always received. And we get 3 to 5 of those a year on a continuous basis. What we really meant and our focus on the international area is more like the -- our Algerian customer. We, as you probably know in the past 12 or 18 months, we actually broke through in Saudi Arabia and had a $10 million contract for some preliminary tropo systems. Obviously, we feel very strongly that, that will lead to a similar situation as we've had in Algeria and could lead for us to have major programs in the $40 million to $50 million area. So that's just one example. I'd rather not get into any of the other specific countries, but we have about 4 or 5 of those type of opportunities kind of in the pipeline. Now as I mentioned, with everything that's going on in that part of the world, delays are probably to be expected. 
Mark Jordan: Okay. Just a follow-up relative to those 4 or 5 opportunities that are out there. Are you marketing those as the prime, or are you jointly marketing with a large defense prime? 
Fred Kornberg: I think for the most part, we're now marketing themselves -- by ourselves as primes. We do have opportunities with major contractors that we're also teaming with. 
Operator: We have time for a final follow-up from Tim Quillin with Stephens Inc. 
Timothy Quillin: Yes, I'm sorry, I tried to withdraw my question, but I'm all good. 
Operator: All right. There are no further questions. We'll turn it back to the company for closing remarks. 
Fred Kornberg: Okay. Well, thanks, again, for joining us today, and we look forward to speaking with you, again, in June. Thank you very much. 
Operator: This concludes today's teleconference. You may now disconnect, and have a great weekend.